Operator: Ladies and gentlemen, thank you for standing by, and welcome to JOYY Inc.'s Third Quarter 2025 Earnings Call. [Operator Instructions] I'd now like to hand the conference over to your host today, Jane Xie, the company's Senior Manager of Investor Relations. Please go ahead, Jane.

Tingzhen Xie: Thank you, operator. Hello, everyone. Welcome to JOYY's Third Quarter 2025 Earnings Conference Call. Joining us today are Ms. Ting Li, Chairperson and CEO of JOYY; and Mr. Alex Liu, the Vice President of Finance. For today's call, management will first provide a review of the quarter, and then we will conduct a Q&A session. The financial results and webcast of this conference call are available at ir.joyy.com. A replay of this call will also be available on our website in a few hours. Before we continue, I'd like to remind you that we may make forward-looking statements, including, but not limited to, the future development of our products and businesses, expected financial performance, our share repurchases and other future events, which are inherently subject to risks and uncertainties that may cause actual results to differ from our current expectations. For detailed discussions of the risks and uncertainties, please refer to our latest annual report on Form 20-F and other documents filed with the SEC. We will also discuss certain non-GAAP financial measures that are included as additional clarifying items to aid investors in further understanding the company's performance and the impact that these items and events had on the financial results. The non-GAAP financial measures provided above should not be considered as a substitute for or superior to the measures of financial performance prepared in accordance with GAAP. You may find a reconciliation of the differences between GAAP and non-GAAP financial measures in our earnings release. Finally, please note that unless otherwise stated, all figures mentioned during this conference call are in U.S. dollars. I will now turn the call over to our Chairperson and CEO, Ms. Ting Li. Please go ahead, Ms. Li.

Ting Li: Hello, everyone. I'm Li Ting. Thank you for joining us today. This quarter, we have taken another firm step towards becoming a global technology company powered by multiple growth engines and a strong synergistic ecosystem. Starting with our Q3 results. Livestreaming revenues sustained steady sequential recovery, while our ad tech platform, BIGO Ads accelerated top line growth with its total ad revenue growing over 19.7% quarter-over-quarter. Meanwhile, we maintained a robust cash flow generation and continued to actively return value to shareholders. Last quarter, I expressed our long-term commitment to building a meaningful and lasting presence in the ad tech industry. This quarter, we made concrete progress towards that goal. BIGO Ads daily growth revenue grew aggressively and reached new heights. As we further accumulate in scale and continuously iterate our AI algorithm, we are confident we will soon reach new milestones. We achieved total revenue of $540 million in the third quarter, up 6.4% quarter-over-quarter. Our livestreaming revenue was $388 million, up 3.5% Q-o-Q, making 2 consecutive quarters of sequential growth. Meanwhile, BIGO Ads recorded $104 million in revenue, with a year-over-year growth of 33.1%, bringing total non-livestreaming revenues, including ad revenues and others to 28.1% of group revenues. Non-GAAP operating income reached $41 million, up 16.6% year-on-year. Non-GAAP EBITDA reached $51 million, up 16.8% year-on-year and 4.9% Q-o-Q. Operating cash flow for the quarter reached $73 million. As of September 30, we had $3.3 billion in net cash. This provides strong support for our ongoing competitive shareholders' returns. We will continue actively executing our share repurchase program. As we advance our strategic priorities alongside strong acquisitional momentum, we are positioned to deliver long-term value for our shareholders. As we approach year-end, I would like to outline our overall strategic direction for year 2026. In short, we will focus on 3 key priorities, strengthening ecosystem synergies, reinforcing organization vision, vitality and reigniting growth. Beginning in 2022, we accelerated the diversification of our revenue stream, cultivating our 2B initiatives in ad tech and SaaS. We have made steady progress advancing towards our strategic positioning as a global tech company powered by multiple growth engines in the past several years. Today, our livestreaming business serves as a reliable cash call, providing a solid foundation for profitable growth. In the meantime, our advertising platform and the e-commerce SaaS businesses have completed initial validation of their business models and are rapidly emerging as our net growth curve. In Q3, our total non-livestreaming revenues exceeded 28.1% of group revenues. We have created a highly synergistic system where our global traffic, advertising and e-commerce SaaS businesses reinforce each other. The R&D capabilities, network infrastructure, local operations expertise and first-party data access, we accumulated through global social livestreaming are now powering our rapid 2B expansion. In turn, our 2B progress strengthens our competitive moat in both data and technology. We are just beginning to unlock the full strategic value of this integrated business ecosystem. We are transforming our high-growth ad tech business by establishing BIGO Ads as an AI-powered global platform for performance-driven, multichannel advertising across different verticals. In 2026, we expect to substantially extend our traffic coverage. On mobile traffic, we are exploring partnerships with meditation platform and developers like Google AdMob to accelerate traffic expansion. On web traffic, we are extending traffic coverage through partnerships with channels like Microsoft Xandr and Google AdX. On the demand side, as we establish web-to-web advertising capabilities and integrate our web models, we expect to capture continued growth from web-based advertise. For mobile-based advertising, we are enhancing our IAA D7 ROAS product to improve advertiser ROI for IAA, while advancing the optimization of our Target CPE and other products for IAP to expand into area. Finally, on platform technology, we expect to establish and strengthen our iOS ecosystem in 2026, which will enable us to unlock substantial incremental growth potential from iOS high-quality traffic. We will also continue investing in AI, building our team and resources to accelerate model development and optimization. These enhanced models will leverage deep user behavior and conversion data across channels and verticals, enabling more precise targeting and a better performance for our advertisers. We have clear strategies in place to drive continued growth in 2026 across all dimensions, including multichannels, traffic expansion, vertical-specific demand development and enhanced AI modeling capabilities. These initiatives will create powerful flywheel effects, which will compound enabling us to deliver increasing value to advertisers, while accelerating our own growth. We believe 2026 will be a milestone year for JOYY's ad tech business, and we are excited about the possibilities ahead. Turning to Shopline. We remain bullish on the long-term prospects of the SaaS-based e-commerce sector. Unlike walled garden marketplace platform, Shopline provides an open and extensible solution to merchants, through which merchants have full data ownership for advanced operations. For the past several years, Shopline's core mission has been product excellence. We have made a substantial investment in R&D to involve from storefront builder into a full stake e-commerce system seamlessly, combining SaaS infrastructure payments and integrated making tools into 1 powerful closed loop. With this rise of AI, we are now embedding advanced AI capabilities deeply into every part of merchant's journey, continuously sharpening our product edge to drive real business success for our customers. Since last year, we have seen accelerated growth in certain key regions with steady expansion in gross margins. This is an important strategic milestone for Shopline. Our long-standing commitment to R&D, excellence and talent recruitment has built the deep technological foundation that supports our success across all business segments. Through our modular organizational structure, we enhanced synergies by sharing resources and capabilities across business lines. Our approach enables us to remain agile and the execution focus while giving new ventures competitive advantages from day 1 and creating significant operating leverage as we scale. As we expand and diversify into new initiatives, our results-driven incentive merchanting provide our top talent with equitable opportunities and broader career development takeaways. By fostering an entrepreneurial spirit, embracing innovation and leveraging competitive incentives to attract and retain excellent talent, while ensuring high strategic goal adjustment between management and the core team members, we drive more efficient corporate development. From management strategic priority standpoint, we have a balanced framework incorporating both operating metrics and long-term shareholders' value accretion, which promotes strong argument with shareholders' interest. After several quarters of adjustment, our livestreaming business has returned to a sequential recovery trajectory. We believe it is positioned for steady year-over-year growth in 2026. Meanwhile, we expect our ad tech and SaaS business will sustain robust double-digit revenue growth year-on-year in the coming year. This sets the stage for year-over-year group revenue growth starting in Q4 2025 as reflected in our newly announced guidance and continue into 2026 and beyond. This is not just a return to growth, but rather the launchpad for unlocking vastly large addressable market. Next, let me share with you our latest operational update and our outlook for the future. In the third quarter, our global average mobile MAUs reached 266 million, up 1.4% quarter-over-quarter. Our organic users growth continued to be strong, driven by our instant messages. In Q3, IMO product MAUs grew by 600 million Q-o-Q, with average time spent per user up 10.8% year-over-year. Product retention rate continued to improve year-on-year, driven by our ongoing enhancements to core IMO features. On user acquisition, we maintained a disciplined ROI forecast, targeting users with strong monetization potential, BIGO LIVE's 30-day ROI from new devices improved 6.7% quarter-over-quarter as a result. In Q3, group livestreaming revenues reached $388 million. BIGO LIVE streaming revenue was $368 million, up 3.5% Q-o-Q, maintaining their sequential growth trend. BIGO's total paying users grew 0.8% Q-o-Q, while ARPPU increased 3.4% Q-o-Q. BIGO LIVE delivered positive sequential growth for the second consecutive quarter. This recovery reflects our comprehensive integrated approach, where we have leveraged effective streamer inclusive program, a healthy and diverse high-quality content ecosystem, AI-powered user touch point enhancements, which improve content discovery and payment experiences and strong local operational campaigns. These initiatives together drove renewed growth. Since the second half of last year, we have restructured our streamer incentive mechanism across regions, shifting support towards middle-tier streamers. We are now seeing significantly improved streamer engagement and content quality across the platform. In Q3, average streaming hours for newly signed steamers on BIGO LIVE rose 3.5% Q-o-Q and the average viewer numbers increased 3.9% Q-o-Q. We continue advancing AI-powered improvement across content, distribution and payment experiences, by incorporating future user signals through AI and optimizing strategies for cross-regional and in-app scenarios in BIGO LIVE. We enhanced viewing experiences and drove users' average viewing time up 3.4% Q-o-Q. Meanwhile, our real-time transition, the title now supports 15 languages, significantly improving user interaction across different regions. We are also using AIGC technology to efficiently generate localized virtual gifts. In October, AI-powered interactive gifts represented 25% of total virtual gift consumption, demonstrating strong user adoption of AI-enhanced futures. We have used packages, strategy to further optimize BIGO LIVE tiered paying users' benefit system. In Q3, mid-tier user ARPPU increased 2% Q-o-Q, while the total number of premium paying users achieved double-digit Q-o-Q growth. Looking ahead to 2026, we are confident that our streamer incentives, content cultivation and AI-driven optimization will position BIGO LIVE to regain momentum for growth. We are also advancing payment infrastructure improvements to deliver more diverse, localized payment options for global users. We believe this will be a tailwind to drive payment rate improvements across all products over time. Overall, we are confident that livestreaming will return to steady growth in 2026 and continue contributing sustainable cash flow for the group. Turning to BIGO Ads. In Q3, BIGO Ads achieved $104 million in advertising revenue, up 33.1% year-on-year and 19.7% in Q-o-Q, while first-party ad revenue and profit remained stable with single-digit Q-o-Q growth. Our third-party BIGO audience network was particularly strong, recording mid-double-digit year-on-year and 25% sequential growth. On the traffic side, BIGO audience network traffic continued to grow this quarter. SDK ad requests were up 228% year-on-year and 29% Q-o-Q, representing significant growth. On the technology front, we upgraded our IAA D7 ROAS optimization with AI-driven real-time prediction and smart building capabilities. By leveraging across channel and cross-vertical user behavior and attrition data, the enhanced model delivered significantly improved prediction accuracy and the generalization that enable advertisers to scale budgets with greater confidence, acquiring higher-quality users while sustaining strong return efficiency. We saw strong growth across the board, driven the algorithm integration, elevated traffic, new market expansion and strong advertiser demand across multiple verticals. BIGO Ads daily gross revenue reached new heights and continued on its upward trajectory with strong momentum. Web-based demand primarily for lead generation, maintained teens growth Q-o-Q, and we are optimistic on its Q4 growth prospects as we enter into the peak season. Meanwhile, improved IAA delivery and efficientiveness substantially drove IAA advertisers spending up by mid-double-digit Q-o-Q. During the third quarter, total spending from key cohorts increased by 30% Q-o-Q. At the same time, performance gains attracted a steady influx of new advertisers, with the numbers of key cohorts up by 17% Q-o-Q. From regional perspective, we continued to deepen our penetration in the developed countries, with BIGO Audience network revenue from North America growing 22% Q-o-Q, while Western Europe growing 41% Q-o-Q. We delivered exceptional results in Q3, driven by rapid network traffic expansion, continuous algorithm, optimization and the delivery efficiency improvements and rapid growth flow in net verticals. As we outlined in last quarter's earnings call, BIGO Ads represent our record second growth engine and the core long-term strategic initiative. We are committed to building a meaningful and lasting presence in this space and to see significant opportunities ahead. Turning to capital return. As of November 14, we have repurchased USD 88.6 million under our share buyback program. Given our strong financial position and operating momentum, we believe our shares remain undervalued, and we will continue actively executing share repurchases as part of our commitment to returning value to shareholders. Looking forward, with our livestreaming business stabilizing and driving revenue and profit from advertising and other emerging businesses, we expect the company's consolidated operating profit to continue to improve and our shareholders to benefit from long-term profitable growth. In summary, we are optimistic about the positive trends we are driving across our business units. Our core livestreaming business is a trajectory and the continued sequential growth, and we expect livestreaming to gradually remain momentum for growth. BIGO Ads is scaling rapidly as our second growth engine, driven by traffic readiness and vertical expansion and algorithm optimization. And we are strengthening Shopline's product capability and strategic advanced stages as a fully integrated SaaS platform with anticipated synergies with our ad tech platform on the horizon. As I mentioned earlier, we are just beginning to unlock the full strategic value of our integrated business ecosystem. We anticipate that 2026 will be renewed progress and serve as a jumping off plot into our next phase of growth. I will now turn the call over to Ms. Alex Liu, the Vice President of Finance, to provide our financial update.

Fuyong Liu: Thanks, Ms. Li. Hello, everyone. In the third quarter of 2025, we recorded total net revenues of $540.2 million, securing a quarter-over-quarter growth of 6.4%. Our livestreaming business delivered its second sequential recovery with its livestreaming revenues increasing by 3.5% quarter-over-quarter. Our advertising business, in particular, BIGO Ads has demonstrated accelerating growth. BIGO Ads revenues was up by 33.1% year-over-year and 19.7% quarter-over-quarter to $103.9 million. Our non-GAAP EBITDA for the quarter was $50.6 million, up by 16.8% year-over-year and 4.9% quarter-over-quarter. Operating cash flow remained strong at $73.4 million in quarter 3, and we ended the quarter with $3.3 billion in net cash. We accelerated share buyback during the quarter. In quarter 3, we bought back $30.8 million worth of our shares. Between January 1 and November 14, we had bought back 1.7 million of our ADS for $88.6 million in 2025. I will now dive deeper into our detailed financial performance. Looking at our livestreaming business, our total livestreaming revenue were $388.5 million for the third quarter. $367.7 million of which was from BIGO segment, both up quarter-over-quarter. Global MAU was $266.2 million during the quarter, up by 1.4% quarter-over-quarter, driven by a healthy growth of the user pool of our instant messenger. Our ROI-oriented user acquisition, continued AI-driven optimization of our content quality and paying user experience have contributed to improved paying sentiment, with BIGO's total paying user and app increasing by 0.8% and 3.4% quarter-over-quarter. By region, group's total livestreaming revenues from developed countries increased by 7.6% quarter-over-quarter, while livestreaming revenues from Southeast Asia increased by 4.4% quarter-over-quarter. Our total non-livestreaming revenues were $151.7 million during the third quarter, up by 27.3% year-over-year. Non-livestreaming now contributes 28.1% of our total group revenues, up from only 21.3% contribution in the same period last year. We are presenting advertising revenues as a separate line item in the financial statements in this quarter to help investors better understand the performance of our emerging business. BIGO's advertising revenues increased by 33.1% year-over-year and 19.7% quarter-over-quarter to $103.9 million. In particular, our third-party BIGO Audience network delivered exceptional results, recording mid-double-digit year-over-year and 25% sequential growth. We are making substantial progress on all fronts. On the traffic front, SDK network ad request was up by 228% year-over-year and 29% quarter-on-quarter in quarter 3, leveraging multichannel and cross-industry user behavior and attrition data. We continued to train and optimize our algorithms to further improve our campaign performance, which drove advertiser spending. In Q3, the number of key cohorts was up by 17% quarter-over-quarter, with total spending from key cohorts up by 30% quarter-on-quarter. BIGO Ads has certainly emerged as our second major growth engine, and it continued to make a positive contribution to our bottom line. Group's gross profit was $193.1 million in the quarter, with a gross margin of 35.8%, up by 4.3% quarter-over-quarter. BIGO's gross margin was slightly down quarter-over-quarter due to the shift in our revenue mix, which saw an increased contribution from our low-margin network ad revenues. All other segment's gross margin was up by 3 percentage points year-over-year to 42.6% due to growth in higher margin SaaS revenues. Our group's operating expenses for the quarter were $174.2 million compared with $192 million in the same period of 2024. For our sales and marketing expenses, we are consistently optimizing our user acquisition expenses to enhance ROI. For our R&D and G&A expenses, we maintained prudent and disciplined in our total spending through enhanced resources sharing and operational synergy across different business units, while strategically allocating incremental share of our R&D resources towards BIGO Ads. Our group's non-GAAP operating income for the quarter was $40.7 million, up by 16.6% year-over-year. Non-GAAP net income attributable to controlling interest of JOYY in the quarter was $72.4 million, up by 18.4% year-over-year. The group's non-GAAP net income margin was 13.4% in the quarter. For the third quarter of 2025, we booked net cash inflows from operating activities of $73.4 million. Our benefit remains healthy with a strong net cash position of $3.3 billion as of September 30, 2025. Shareholder return continued to be an important component of our capital allocation strategy. We have retained $147.9 million to our shareholders through dividends and repurchased $88.6 million worth of our shares during the year as of November 14, 2025. We believe we are still substantially undervalued, and we will remain firmly committed to actively utilize our outstanding share repurchase program. Turning now to our business outlook. At the group level, we expect our net revenues for the fourth quarter of 2025 to be between $563 million and $578 million. This implies a 2.5% to 5.2% year-over-year growth for the group's revenue in quarter 4. As Ms. Li highlighted in her prepared remarks, we are now repositioned for growth, in particular, with advertising entering into the peak season of the year, we are expecting continued accelerating growth from BIGO Ads, with its total advertising revenue particularly delivering mid-double-digit year-over-year growth in the fourth quarter. Based on the trends we are seeing across our business, we have clear visibility for the group to year-over-year revenue growth in year 2026, and we are extremely excited about the tremendous synergy potential and powerful flywheel momentum that our business segments will deliver in the medium to long term. That concludes our prepared remarks. Operator, we'd now like to open up the call to questions. Thanks.

Operator: [Operator Instructions] Your first question comes from Xueqing Zhang from CICC.

Xueqing Zhang: [Foreign Language] Congratulations on the strong quarter. My question is about the livestreaming business. We have noticed the livestreaming growth slightly quarter-on-quarter for 2 consecutive quarters. How should we think about the long-term trend of the livestreaming business?

Ting Li: [Interpreted] Thank you for your question. This is Li Ting. I will take your question. In the third quarter, our livestreaming business continued its steady sequential recovery, supported by growth in both our paying users and ARPPU. Across regions, developed countries and Southeast Asia maintained resilient and continue the improving trend we've seen in the recent quarters. Over the past several quarters, we've been focusing and executing a series of structural enhancements across our ecosystem, including refining streamer incentive programs, strengthening a more diversified content supply and distribution and expanding the use of AI for content distribution and also paying experience optimization. And those have reinforced one another and also help livestreaming back to healthier growth. Looking ahead to 2026, we expect livestreaming to return to year-over-year growth. First of all, the one-off operational adjustments that we made earlier this year are now largely behind us, and then we expect -- are now largely behind us. And going forward, we will continue to focus our resources on high-value paying users and developed countries while further enhancing refined operations globally through expanding higher-quality content supply, improving user segmentation and incentive existence while strengthening our global payment infrastructure. We expect these to improve our paying conversion and also ARPPU. Additionally, we will also expect some incremental revenue contribution from our new product initiatives in the Middle East region in year 2026. With these drivers, we remain confident that livestreaming is well positioned to resume steady year-over-year growth in the new year. Thank you.

Operator: Your next question comes from Yuan Liao from Citic.

Yuan Liao: [Foreign Language] I'll translate myself. Congrats for the strong quarter results. My question is regarding your advertising business. Could management please share the long-term strategic goals for your advertising business and also your operation plans for 2026?

Ting Li: [Interpreted] Thank you, Liao Yuan. This is Li Ting. I will take your question. We are transforming our high-growth ad tech business by establishing BIGO Ads as a global platform for performance-driven multichannel advertising across different verticals. In terms of our channels, we expect to establish a multi-channel layout, enabling monetization for a wide range of suppliers, including web open networks, mobile app developers and others, thereby significantly expand our supply base. And in terms of industry vertical coverage, we expect our advertiser base to become much, much more diversified and cover a much broader range of advertiser types. For example, for in-app advertising segment, we will continue to deepen penetration into casual games and tool and utility apps. And for the in-app purchase segment, we expect to explore penetration into core vertical such as mid- to hardcore games, content and social as well as e-commerce marketplace. And on web-based advertising, we will also expect to penetrate into verticals such as finance, direct-to-customer, e-commerce, et cetera. So building on this foundation, as our advertising verticals become much, much more diversified and much more expanded advertiser coverage, together with rising traffic and diversifying traffic channels, we will accumulate an increasing volume of data. And this will empower our full domain user profiling and consequently enable us to further optimize the performance and efficiency of our model. And geographically speaking, BIGO Ads will continue to have a global footprint, while our core regions will still be concentrated in developed countries such as North America and Europe, globalization remains a clear path as we continue to expand our platform. And as for our specific plan for BIGO Ads for year 2026, we expect our growth drivers to come from the below 4 areas. First of all, continued expansion of our traffic; second, a strong growth in the number of IAA and web-based advertisers together with their advertiser spending and together with our expansion into new verticals; and thirdly, improvement of our advertising data infrastructure, including continuously enhancing data feedback, strengthening our iOS ecosystem, which we believe will accelerate our model optimization and efficiency; and fourth, geographic market expansion, building on our solid results and foundation that we have achieved regarding these 4 aspects, that has already been achieved in the year 2025. We have a very, very strong confidence in the development, and we really look forward to what we can achieve in the year '26.

Operator: Your next question comes from Thomas Chong from Jefferies.

Thomas Chong: [Foreign Language] I will translate myself. My question is about the 2026 outlook. Can management comment about the user and the revenue trend? And on the cost side, can management comment about the expenses trend and profitability outlook?

Ting Li: [Interpreted] Thank you, Thomas. This is Li Ting. I will take your first question. Looking ahead to the year 2026, we're still in the process of finalizing detailed operational plan, and therefore, we will not provide a quantitative guidance at this stage. That said, based on the trends we are already observing across our major businesses, we have very clear visibility into the '26 for the group's return to positive year-over-year revenue growth, and we have very strong confidence in that. First of all, on livestreaming, as I mentioned earlier, the business has returned to relatively stable sequential growth trajectory following the adjustments that we made in the previous quarters. And we expect livestreaming to resume steady year-over-year growth in the year '26. And for -- secondly, for advertising and e-commerce SaaS, they have shown very strong momentum this year. BIGO Ads delivered approximately 30% year-over-year growth in the first 3 quarters of '25, and our e-commerce SaaS business also achieved double-digit growth. Looking into 2026, we expect both businesses to deliver very strong double-digit growth. And for advertising, we continue to see high visibility across traffic expansion, model, our model capabilities and our advertiser coverage and regional penetration. For SaaS, enhanced product capabilities and rapid growth in key markets, we will continue to contribute to top line expansion. Taken together, as livestreaming returns to year-over-year growth, while both advertising and SaaS maintaining strong performance, we believe that the group is entering into a new growth cycle, with our top line returning to positive stable year-over-year growth trajectory and broader long-term opportunities ahead. While on the user front, we will continue to focus on traffic quality. In Q3, our overall MAU base is still around 78% coming from our Instant Messenger product, which is highly sticky and purely organically acquired. And our IM product has delivered sequential growth for the past 3 quarters when it comes to MAU, and we expect this steady momentum to continue. For our broader social entertainment portfolio -- product portfolio, we expect to remain ROI-oriented and focus on acquiring high-quality global users. Overall speaking, at group level, we expect our group MAU to remain broadly stable in the year 2026 with continued improvement in our user community, which we believe will provide a solid foundation for livestreaming monetization and other monetization opportunities, particularly our first-party ads.

Fuyong Liu: [Interpreted] Thank you, Thomas. This is Alex. I will take your second question. First of all, let us recap our performance in the third quarter. We delivered on better-than-expected profits in this quarter with our non-GAAP operating profit reached $40.7 million, up by 16.6% year-over-year. With our non-GAAP EBITDA increased by 16.8% year-over-year and 4.9% Q-o-Q to $50.6 million. For BIGO segment, our non-GAAP gross profit margin was 35% in Q3, down slightly Q-o-Q, mainly due to the change in our revenue mix as our rising third-party BIGO Audio network has a dilution impact on our segment gross margin. This was partially offset by our ongoing content cost optimization and better efficiency in the livestreaming -- in BIGO's livestreaming. As a result, BIGO's non-GAAP operating margin remained stable at 14% in Q3. Looking at all other segments, non-GAAP gross margin improved -- was improved from 40% to 42.9% year-over-year, driven by revenue growth and higher contribution from our higher-margin SaaS business. Its operating -- its non-GAAP operating loss continue to narrow further to $25.5 million, down from $38 million in Q3 last year, reflecting disciplined spending in our operating expenses. Looking into Q4, we expect the group's non-GAAP operating profit continues to improve Q-o-Q, and this implies that for the full year of '25, our group's total non-GAAP operating profit will achieve a nearly double-digit year-over-year increase compared to the year '24. And turning to the year 2026, looking at the 3 driving components with livestreaming returning to year-over-year growth -- top line year-over-year growth and maintaining stable profitability and BIGO Ads continue to go up, contributing incremental profit. And with e-commerce SaaS further narrowing its operating losses, we expect the group's total non-GAAP operating profit amount and non-GAAP EBITDA to continue the improving trend that we achieved this year and grow steadily in the year '26.

Operator: Your next question comes from Raphael Chen from BOCI Research.

Yiqun Chen: [Foreign Language] Let me translate myself. Congrats on the third quarter. Just wondering could management share the latest thoughts and the strategies of our shareholder return initiatives?

Fuyong Liu: [Interpreted] Thank you, Raphael. This is Alex. I will take your question. Regarding capital return at the beginning of the year, we announced a 3-year shareholder return program totaling $900 million for the year '25 to '27, and we are currently executing this plan steadily, and we are well on track to deliver the plan. As of November 14, we have already paid out a total of $148 million in dividends and repurchased $88.6 million worth of our shares with share buyback execution accelerating in the third quarter. As Ms. Li just shared, we are entering into a new growth stage and the group's revenue will return to a growth trajectory, and we expect to open up much broader market opportunities. While our share price is still at a relatively low level, we expect to actively accelerate our share buyback going forward. Looking ahead, as our operating profit continues to grow, we expect that shareholders can look forward to enhance returns over time. So that was our last question. Thank you so much for joining our call, and we look forward to speaking with everyone next quarter. Thank you.

Operator: Thank you. This conference has now concluded. Thank you for attending today's presentation. You may now disconnect.